Verena Nicolaus-Kronenberg: Yes. Good morning, dear analysts and investors. Welcome to our First Quarter Results Presentation. Thanks for taking the time today to join us. I'm here with Marc. And yes, he will guide you through our Q1 results. Of course, we will leave enough room for questions after the presentation. And with that, over to you, Marc.
Marc Spieker: Thank you, Verena and welcome, everyone, to our Q1 results call. Before I start with the actual presentation about our quarterly results, let me dedicate some words of solidarity to the Ukraine. We continue to condemn the war which Russia has brought about Ukraine. We see extraordinary moments of braveness and strength. This is an example to all of us. Our thoughts are with the people in the Ukraine and with those people who had to leave their homes. We hope that the war will end soon and that peace and freedom will return to Europe soon. Millions of refugees have crossed the borders of Slovakia, Poland, Hungary, Romania. All these regions are our supply areas. Many of our colleagues work there. E.ON assumes direct responsibility for this situation. We provide on-site assistance with energy, accommodation, sleeping bags, hospital beds and so on and forth. We also support financially, standing today at over €3 million of donations from our employees and the company. It still feels difficult but I'll now move to a normal financial results call. Looking at our first quarter results, let me highlight five messages. First, we are extremely confident on our 2022 guidance. We are fully hedged and will gradually pass on higher prices to our customers. Over the full year, our retail margins will prove to be stable. Second, visibility on potential political interventions in all our markets has significantly increased over the past weeks. We have seen very sensible adjustments in both regulated as well as fully liberalized markets. Any risk of detrimental intervention has, in fact, diminished. This underscores high conviction when it comes to our 2022 guidance. Third, our Energy Networks earnings are not only economically fully protected against rising energy prices, they are also protected against inflation in a more general sense. This is a key benefit in the current macroeconomic environment. Fourth, our implicit interest rate hedge works. If interest rates remain at current levels, we will finish the year at the bottom end of our guided range of 4.8 to 5.2x net debt to EBITDA. On top, we have secured most of our funding needs for 2022 already during the first quarter. In a nutshell, we are in a financially strong position and rightfully are so. This brings me to my final message. It is time to invest into sustainable energy infrastructure. Now more than ever before. Accelerated plans for the energy transition in Europe will trigger more growth of distribution grids. They will trigger even more demand for sustainable decarbonization solutions. And this is exactly our business mix with which we are best positioned to benefit from this extremely positive momentum in Europe. Moving now to our Q1 actual results. Looking at our year-over-year bridge on Page 3. Our group EBITDA decreased by €360 million to €2.1 billion. Energy Networks came in slightly below prior year. The anticipated significant earnings increase in Germany was overcompensated by energy prices temporarily impacting costs for network losses in Sweden and several Eastern European countries. This was well flagged. We had indicated that in our annual results call. Just to remind you, price-driven costs for network losses are part of the regulatory formula in each of our markets and will automatically and fully be recovered in the future. EBITDA of our Customer Solutions business is temporarily compressed by higher energy procurement costs within our energy retail business. These cost increases will be passed on to our customers during the remaining year. The important news here is that we observed almost no impact on churn for those price adjustments that we have already implemented by now. Our Energy Infrastructure Solutions business grew its EBITDA by 14% year-on-year to around €200 million. This was driven by good availability of our decentral generation assets. Our performance in Customer Solutions was also supported by our Retail Solutions business. Future energy home revenues grew by 30%, 3-0, year-on-year to now €250 million for the first quarter. eMobility Solutions revenues grew by even 150%. And I'm particularly positive about this because we delivered these high revenue growth rates at positive high single-digit EBIT margins. Q1 EBITDA of our Non-Core business is flat year-on-year despite the shutdown of Grohnde and Brokdorf at the year-end 2021. Our Nuclear Generation business benefits from higher realized market prices. The same is true our Turkish upstream joint venture. Moving on to Page 4. Our total economic net debt is largely unchanged. Three points that I want to highlight. First, we continue to benefit from increasing interest rates, leading to additional financial leeway. For Q1, this significantly overcompensated for plan asset performance. Plan asset performance also includes the fair value adjustment of our Nord Stream 1 asset in the magnitude of about €250 million. Second, as I told you in previous calls, the impact of margin payments for sourcing energy via exchanges has diminished. Received variation margins fully compensated for initial margin payments. Third, we continue to expect a cash conversion of significantly above 100% for 2022. The negative operating cash flow in Q1 should not come as a surprise. It reflects the usual seasonal pattern in our business model. Everything else is fully on track. To summarize, the solidity of our financing paves the way for increasing investments and dividends in the future whilst ensuring a strong BBB/Baa rating. Sometimes people ask me about the catalyst for investing in our stock right now. Effective inflation protection is a very important one. I don't get tired of repeating that message. Our regulated Energy Networks business is extremely well protected against inflation. So how exactly does that protection work? In our biggest market, Germany, it is quite straightforward. Here, the total allowed cost base, including allowed OpEx and the RAB-driven return on capital will be increased every year by the CPI of the current year at the beginning of the year t+2 for inflation protection with t+2. So there is a certain time lag but ultimately, the complete allowed revenues are indexed with the CPI. For our other markets, we must distinguish between the respective mechanisms for allowed OpEx and for the RAB-driven allowed revenues. Regarding allowed OpEx, it's super simple. In all markets, OpEx allowances are inflated on a yearly basis either with a CPI or sometimes even with an industry-specific index, like, for example, in Sweden. The time lag here is either t+1 or t+2. Regarding the RAB-driven allowed revenues for our markets outside Germany, the protection mechanisms vary from country to country. In Sweden, Hungary, Romania and Turkey which all have regulatory systems based on real terms, the inflation protection works automatically via an indexation of the regulated asset base either via CPI or an industry-specific index. The applied time lags here are also either t+1 or t+2. In Poland and Slovakia which have regulatory systems based on nominal terms, the nominal allowed lags are being adjusted every year. So also here, we have full inflation protection for the return allowances. Bottom line, in all our regulated networks businesses, we are protected against inflation with around 90% of Energy Networks EBITDA automatically being protected. On the Customer Solutions side as well, we see our earnings largely protected against rising procurement cost. This conviction is reflected along three dimensions. In the first dimension, our main markets are not restricted by any price cap mechanism that does not allow us to pass through higher costs. Current discussions in the political arena are not indicating that this picture will change. That allows us to reflect increasing procurement costs in the customer bill. For our regulated retail markets, such as the U.K. or selected Central Eastern European markets, regulators have acknowledged and constructively reacted to the current situation. Ofgem in the U.K., for example, recognizes some key risks faced by suppliers. Ofgem intends to address these within the next SVT period from October. As always, Ofgem still needs to act faster on some topics like the ongoing delay to introducing stricter rules around customer credit balances but we are on it. In Romania, the historical price cap led to a higher double-digit million euro EBITDA burden in Q1. Quite constructively, a new support scheme was initiated on April 1 already. This scheme provides us with full visibility for the rest of the year and ensures a positive margin going forward. In addition, we are in talks with the government about the recovery of any uncovered procurement costs from the first quarter or any quarter before. In Hungary as well, we found a constructive solution. We signed an agreement to transfer the roughly 2.5 million regulated customers to the state-owned utility, MVM, with the effect of March 31. So from April 1, also here, full visibility moving back to positive margins and positive results for the full year. Let me come to the second dimension. In all our markets, governments have decided to provide direct transfer payments to customers and especially to vulnerable customer groups. And the third dimension, there is on top a clear willingness of politicians to reduce taxes that still have a significant impact on the energy build. Take the abolishment of the renewable surcharge in Germany or reduced VAT and energy taxes in The Netherlands as examples. I could add many more. For us, this is reassuring. We do see that the obvious challenge of energy affordability is being actively addressed and not avoided like a hot potato. This allows us, in turn, to do what we are best at, acting as a reliable energy partner for our customers. When other companies fail to perform, we step in also as a supplier of last resort. Finally, let me remind you of the structure of our operations with a clear focus on B2C and SME customers, segments that proved to be resilient during economic crisis of the past and will prove to be resilient also in this crisis. All in all, the developments over the last weeks have significantly increased our visibility for 2022 earnings development in Customer Solutions. Let me close today's presentation reiterating our high confidence on the group outlook for 2022 which today, we fully reconfirm. We also reconfirm to invest around €5.3 billion in 2022 to deliver on our ambitious growth plans. Beyond 2022, we are very confident that E.ON's strategy will successfully unfold. The opportunity from increasingly decarbonizing our electricity, the heating as well as the transport sectors will crystallize faster than anyone would have believed before. The elimination of Europe's dependency on energy imports is a huge effort and will only be successful if we have the right energy infrastructure in place. That's why we will continue to invest into our distribution grids and into sustainable decentral energy infrastructure solutions alongside with our customers. Thank you very much. And with that, back to you, Verena.
A - Verena Nicolaus-Kronenberg: Thank you very much, Marc, for your presentation and we will now start the Q&A session. [Operator Instructions] First question comes from Vincent.
Vincent Ayral: Yes. Vincent from JPMorgan. So two questions. I'll go for the first one, clearly on supply. So thank you for this slide. I think it is very helpful to have this summary. Now when we look at the message, the message is very supportive saying, yes, you are able to pass through the increase in procurement costs like you've done in Hungary, for example, Romania. But we see quite some pressure in the Q1 numbers. You don't change your guidance. I suspect it was already envisaged in the guidance you provided. So if we look at the slide, it's like if there are no problems. The Q1 shows there were probably, so we've been in negative margin. So how confident are we indeed that all the problems are solved going forward in the supply, especially if commodity prices remain high or could go higher? So that will be question number one regarding supply. The question number two is, obviously, regarding the Russian gas situation. So we have ruble payments coming in the next few days or weeks. And you've made some comments regarding the state of emergency and the fact that Germany and Europe should avoid Russian gas curtailment. But recently, I assume that there is some thinking going in Germany to instead of prior to hiring residential customers of industrials, we'll go the other way around. So you give us a bit of color on what is the current thinking to prepare for what is not a base case scenario but still is a risk to be prepared for which is Russian gas curtailment.
Marc Spieker: Yes. So let me start with the first question on Customer Solutions. The development in Q1 is quite as we expected it, keeping in mind that energy prices were on the rise throughout the whole of the second half of last year already. So in that sense, the dynamics which obviously have been amplified by the outbreak of the Ukrainian war, the fundamental dynamics is by far not surprising. And that's why actually we don't see that really as a problem as you phrase it. That's a natural part of our business. And I'm proud about our operational excellence in that sense that we were able to deliver these price increases on the basis of a strong risk management, very solid hedging strategy and an excellent churn management. And so a large part of the needed price increases has by now already being implemented or announced. And that's why the visibility on the development there for the remaining three quarters is quite high and hence, also no reason, therefore, to deviate from our guidance. When it comes to the ruble payments, please bear in that mind we are not having ourselves a direct relationship with Russian domiciled operators via long-term contracts or so. So in that sense, on ruble payment specifically, I would refer you to those who are having those long-term contracts. Now, the second part in the question which you raised is now becoming more likely that we would see a gas embargo in Germany. I still regard this as very unlikely. If you look at the position of the German government, it's crystal clear that a gas embargo would massively, massively and adversely affect the German economy actually in a way that now three months into the crisis, no one still has a clear plan what really what the impacts would be. If you look at the supply chain effects, so if you cut off 1 industry, actually what happens then to the next ones. And we also do not change our view on that anything which you can achieve on the B2C side which indeed some people have been raising, is something which you can rely on if you should really run into this tail event of a gas embargo because it's not something which you can actually control. Of course, what you should expect is that also ourselves, we would then reach out to our customers and encourage them to save energy but it's something which you can't control. And when it's about then the physical balance of a system, you can't just rely on a pledge or a plea, you actually need to make sure that you're able to physically balance the system. And so, I don't expect that the fundamental order and sequencing mechanisms would really change. But again, at this stage, I still regard, I guess, embargo as a tail event.
Verena Nicolaus-Kronenberg: Does that answer your question, Vincent?
Vincent Ayral: Yes, absolutely. It doesn't mean, I think, on supply it's quite clear why the guidance has not changed in a way it de-risks. On Russia, yes, it's absolutely clear. In Germany, regarding this and it's still not to be considered as a base case but rather a sort of black box event. So good to hear that.
Verena Nicolaus-Kronenberg: All right. Thank you. Just a little reminder, so it would be great if you could turn on your camera when you are talking so that we can actually see you here. Otherwise, we just see a little bubble. That's obviously nice. So we're obviously very much looking forward to also seeing you. Thank you. And if your questions are answered, then turn down your hands so that we can sort of organize the call accordingly. So next one on the line is Peter. Peter, please go ahead, Bank of America.
Peter Bisztyga: Yes. So two questions from me. One is just coming back to this full year guidance that you seem very confident in. You need core EBITDA to be up about €1 billion, €1.1 billion in the remaining nine months of the year, year-on-year to hit that. I was wondering if you could sort of help us bridge that a little bit just to avoid any confusion around whether that's achievable or not. And then my second question is sort of coming back to this gas issue but maybe from a slightly different angle. I was wondering if you've been given any specific assurances either directly by the German government or from what you're seen from plans that have been made thus far, that you, E.ON, will not be exposed to any negative financial consequences in the event that you -- there is insufficient gas to supply your customers.
Marc Spieker: Yes. Peter, let me start with the full year guidance question. That's actually extremely straightforward and also highly visible. So let me start with a thing which you should memorize now as long as you're having that drop in quoting me on, that goes back to our Capital Market Day in November, we will deliver this year and every year in the future at least €200 million to €300 million of additional EBITDA from organic investments. And we said that we'll ramp up our CapEx over time, so you will not see the full €300 million this year coming. But we will definitely see the €200 million, the lower end this year. And this is more or less CapEx being deployed quarter-by-quarter, so still €150 million to €200 million to come from that this year for the quarters two, three and four. Secondly -- so on that high visibility. Second, synergies. In the remaining year, still €300 million to come, all measures implemented, high visibility. We have seen the developments in German networks normalization, I guess, the backdrop of regulatory cycles. Also, that is unfolding as expected. You should assume that another €200 million to €300 million will come during the remainder of the year. We have already talked about procurement costs. So that is as of Q1 across the portfolio a hit of about €250 million, €300 million. But as I said, the large part of the price increases has by now been either implemented or announced. So also here, high visibility, high visibility that those costs will be recovered during the remainder of the year. And finally, we have also shown the impact of network losses during Q1. But we already had increased network losses last year. And we will see the recovery effect from last year's LNG network losses this year and particularly unfolding during the remainder of this year which also is a ticket of €100 million to €150 million, also high visibility. And I think if I just add on the stuff which I mentioned, I'm already beyond €1 billion EBITDA ticket. And these are all developments which are either already implemented or are of high visibility, so that's just no doubt around that those things will be delivered spot on. And hence, from our side, no question mark, no doubt around our full year guidance. And on the gas issue, of course and this goes back to what I elaborated on my introductory speech about how politicians react and this is not only the case in Germany that politicians and regulators across the board do respect our role as a stable, reliable energy supplier and are crystal clear about it. This position will be reinforced. And whatever the situation then will be, that we will be able to pass on -- either pass on those costs to customers and then governments will step in with further support packages for vulnerable customers or there will be another form of compensation. But there is no discussion or no sentiment whatsoever that U.S. as analysts or our investors should be afraid of that our margins will be negatively affected by any such development.
Verena Nicolaus-Kronenberg: Thank you, Peter. Next question comes from Deepa from Bernstein.
Deepa Venkateswaran: First one on the German retail market, you don't have a price cap. So just wondering why you were not able to pass through the price changes earlier. I can understand Romania or the U.K. So if you can just maybe talk about why in Germany, you haven't. But it seems like in Netherlands, you have been able to. So is there any particular rule or regulation that's impacting? And secondly, on the inflation-linked protection that the company has. Is it fair to say I mean, overall network EBITDA, what proportion of that is fully protected? Is that 80%, 90%?
Marc Spieker: Deepa, sorry, on the last one, can you just say protection -- I didn't get to closely hear the first part [indiscernible].
Deepa Venkateswaran: Yes. You've given the table with all these different regulatory regimes. But if you can just overall then summarize for the segment of what proportion is inflation protected?
Marc Spieker: Yes. So let me start with the second question because that's a short answer. Across the board, about 90%, 9-0, percent of our Energy Networks earnings are automatically inflation protected. This does not mean that the remaining 10% are not protected. But the remaining 10% either require an interaction with the regulator or are subject to outperformance incentives where, again, we see ourselves in a pole position to actually outperform and make sure that we have an inflation protection here as well addressed, by the way, how we operate. So effectively, I'd say 100% is protected but kind of this automatic regulatory protection applies to about 90%. And that's an extremely strong message and good news for our investors. Now timing of the price increases is very much related to the hedging strategies which we apply in the different markets and the hedging strategies are depending on the competitive environment. So there is no single truth about hedging strategies. Hedging strategies need to be optimized against how you see the competitive pack acting. And that's if you compare Netherlands and Germany, just different. And in Germany, we ever have a somewhat longer hedge path. And this just means, therefore, that the time lag when we then implement that into price increases is somewhat longer. But it still means that this transmission mechanism of increasing prices is fully effective and that's why this recovery will come for sure.
Verena Nicolaus-Kronenberg: Thank you, Deepa. Next question comes from James Brand from Deutsche Bank.
James Brand: Can you hear me okay?
Verena Nicolaus-Kronenberg: Yes.
Marc Spieker: Yes. Very well.
James Brand: Okay. Great. I had two questions. Firstly, on the retail business, you're obviously targeting stable margins and your guidance has a stable or slight increase in EBITDA in retail business. I have a question on the medium term because none when people think about retail, they think about a percentage margin. And obviously, sales are going up very significantly. You saw 60% revenue growth in Q1 year-on-year. So when the crisis is over, assuming the energy will stabilize at a much higher level, should we be thinking about you kind of reverting back to the 2% margin or so that you've achieved in the past? Or should we be thinking more around stable margins in absolute terms? That's the first question. And the second question is a little bit geeky one. But thank you for the inflation slide on networks, that was very useful. But just in terms of kind of monitoring your RAB evolution, when we see what you're reporting at year-end, so for instance, if we look at the RAB as you presented it at the year-end 2021, is that already including inflation uplifts in the RABs? Or is there a bit of a lag in terms of waiting for the regulators to recognize them before you reflect those in your RAB at year-end? Because your RAB at year-end was a little bit lower than expected perhaps because of some lags in presenting. And if you allow me a kind of half question on the inflation topic. The Swedish inflation index, is that running -- how is that running compared to CPI? Is it below, in line, above CPI at the moment?
Marc Spieker: Yes. James, so on retail margins, you're spot on. Of course, of course, we do expect that once we are through this year where we would not expect that percentage margins will be stable. So we expect at least stable absolute margins. And for this year which will mean that percentage margins will most likely go down. But for the midterm, of course, of course, we will be managing that business on a percentage margin -- from revenue. That's, by the way, the perspective which most regulators take as well. And so it would actually be nonsense to believe that our revenues increased by 50%, 60%, 70% and our margins actually are just compress. No reason to believe that where our midterm outlook on retail given the current price outlook is actually much more bullish but I think all eyes are on this year. But we're extremely confident when it comes to the midterm. About inflation adjustment in RAB, the timing, as I said in my speech, is t+1 or t+2. So you don't see anything of elevated inflation rates in our annual accounts as of December last year. So that's the first point. The second point, when you look at our year-end balance sheet, keep in mind that the balance sheet is being calculated based on FX spot rates. So in our regulated asset base, from time to time, you have just some spot rate fluctuation when it comes to translating FX into euro. And a large part of the reason was the weakness of the kroner that has reverted back and so that kind of lower levels by now FX has already been recovered. So this is rather a topic about spot rates and FX translation than anything else. And when it comes to the Swedish index, I actually have to park that one. We will come back to you or anyone in the room who -- well, not getting -- or Verena?
Verena Nicolaus-Kronenberg: Yes. Sweden is historically a bit above CPI. So just as a reference. Yes. Next one on the line is Rob from Morgan Stanley.
Robert Pulleyn: Hopefully, you can hear me. I have just one question and that is regarding Gazprom's European subsidiaries with which you had relationships. Now excuse me if I get this wrong, so please clarify. But I believe they're now under the custody of the German government. And if so, does that then meaningfully reduce E.ON's counter-party risk in the event of disruptive gas supplies? That's it.
Marc Spieker: Very much so, Rob is the answer. Yes. Nothing today.
Verena Nicolaus-Kronenberg: Thanks, Rob, for the straightforward Q&A topic. So next one on the line is Alberto from Goldman.
Alberto Gandolfi: And I'm going to ask two questions. And they're not that straightforward, I'm afraid. So let me elaborate the first one. Marc, the €1 billion EBITDA bridge, crystal clear. You probably could say €1.1 billion if you probably add or almost the cost cutting that also is supposed to come this year. So I take that. However, the €1 billion increase for the next -- for the rest of the year applies if all the headwinds in Q1 were to suddenly disappear on the April 1. So I guess my question is, are we going to see some extra headwinds? And maybe to qualify that, what is the tariff increase you need to pass through in Germany in Customer Solutions for the headwinds to go away? And when do you think you're going to pass these increases? Because I think still April probably was quite challenging. My second question, sorry to go back to inflation. This is an incredibly important point. I think your slide was super clear. But just to be very, very clear, Germany after 2007, RUB is nominal, right? It does not update with inflation. What happens is that your TOTEX update for inflation. Your allowed return update for inflation within the regulatory period, so there is a partial inflation protection, not full, then it reset every time. Or am I getting this wrong? Just to be super clear, this is a very important point.
Marc Spieker: Yes. So Alberto, with your first question, looking at our procurement position and that we are basically fully hedged, I don't think that any further headwinds will have a material impact on this year's earnings. And we would -- as we demonstrate now with our development between Q1 there's some beeps here. I'm not sure whether that is in the tone line. That's gone now. Great. It's not you, I bet. There was someone here. So I don't expect new headwinds to have a financial impact on this year's earnings and not -- neither on future earnings because we will have the time to make the necessary adjustments on price adjustments and so on. Secondly, when it comes to inflation protection, the German system, indeed, is a nominal return one. But the return allowance during the next -- until the next regulatory period for [indiscernible] starts will be every year inflated with CPI. So we have until the next regulatory period full inflation protection in that sense. And then inflation protection is still then from [indiscernible] onwards guaranteed by the fact that by then, then allowed returns will be readjusted to then take into effect a higher inflation and interest rate environment. So in that sense, it is in the total period fully protected is the mechanisms which are being applied are different. But at the end, net-net, full protection.
Alberto Gandolfi: Marc, that is very clear. May I just ask when do you think the tariff increase in Germany may be implemented? I don't know if you want to mention maybe how much. But when do you plan to increase tariffs in Germany?
Marc Spieker: On the network side?
Alberto Gandolfi: On the Customer Solutions probably.
Verena Nicolaus-Kronenberg: I would say, we start 1st of June. That has already been announced. Further details, we cannot really share because that's of competitive nature as well.
Marc Spieker: I can't talk about things which are still in the pipeline. But the large part has already been implemented with the price increase effectiveness of January already and another one now being announced with effective date, as Verena said, 1st of June. Not the ones who implemented and announced or announced and we have full visibility. And by the way, no impact on churn. It actually gets to almost already 50% price increase here as well. So if you take the two steps, it's already quantifiable [ph]. Okay, next one.
Verena Nicolaus-Kronenberg: Next one is Piotr from Citi.
Piotr Dzieciolowski: I have two questions. So first, I wanted to ask you about your guidance for this year. You explained the reasons how you can get to this guidance. But then I want to ask you how much of the kind of the headwinds in terms of network extra costs or the squeeze on the supply margin is embedded within the guidance that will disappear going into the next year? So I was just trying to make a bridge more towards 2023 versus 2022. But some of these headwinds on the net basis, like Netherlands, is a small positive. German is a moderate. But how much is kind of millions of euros you kind of have in these numbers that will be supporting for year-on-year bridge into the next year? And then, I wanted to maybe extrapolate the questions of our data into the Eastern European inflation protection for the networks. I mean CPI in Eastern Europe runs good double-digit figures. And some of the countries, different metrics of how they are supposed to be protected. But this is actually in the...
Verena Nicolaus-Kronenberg: Piotr, we cannot hear you anymore.
Piotr Dzieciolowski: Can you hear me now?
Verena Nicolaus-Kronenberg: Yes, now. Sorry. Can you...
Marc Spieker: No, you're lost again.
Piotr Dzieciolowski: Is it better now?
Marc Spieker: Yes.
Verena Nicolaus-Kronenberg: Yes. Your lines or maybe you -- no. We still cannot hear you anymore.
Piotr Dzieciolowski: Okay. Then let's go with the first question only.
Marc Spieker: Okay. That one, we understood now. But I answer the second one and maybe the line will be improved. So on impact of higher energy prices, so again, on the Customer Solutions side, we expect that margins will normalize with the price increases that we have implemented or announced. And so normalization there. Just with a small letter to what I said before on James' question, that a normal margin will actually be an expanding margin going forward. So our percentage revenue margin will compress, absolutely stable but relatively compressed. And I would expect that going forward then also on a percentage basis to expand again. So absolute margins going forward should actually go up if we look beyond this year. On Energy Networks, we have based, as we indicated already with our full year results call, we indicated that we included the spike in prices in the beginning of March. And on that basis said, well, if prices stayed on that spike, then we would probably deliver in the Energy Networks business at the low end. Now prices have actually come down a bit. So you should take away full comfort that we be will able in a pretty wide bandwidth of energy prices to deliver on our guidance and that we have built this in. And then again, an absolute number is a bit difficult to say because partly then you have immediate protection in place, partly it then is a timing issue. But there's high confidence in a high bandwidth actually of outcomes of energy prices that we will be able to deliver our guidance.
Piotr Dzieciolowski: Is the line better now? Can you hear me?
Marc Spieker: Now it's better. So keep a shot on the second question again.
Piotr Dzieciolowski: So I just wanted to ask you how do you feel about the risk on the regulatory side that some of this inflection -- inflation protection measures in Eastern Europe will not work. Just to give you an example, published 10-year yield runs almost 7%. Your...
Marc Spieker: Now the line is broken again.
Verena Nicolaus-Kronenberg: But it was just the example, so maybe...
Marc Spieker: Look, we have in the dialogues which we run across the markets, regulators are extremely constructive. No question, doubts around these mechanisms. And keep in mind that a large part of the price increase is now in many markets already implemented, yes? So it's not a reality which is still to come. The big shock in terms of energy affordability is now visible already for any politician and regulator. And so what I don't share is this notion, there's still a way to come which no one has seen as of now. It's not the reality in the discussions we have with regulators. And that's why my confidence, therefore, is high when it comes to these automatic inflation protection mechanisms.
Piotr Dzieciolowski: Okay. And apologies for this line.
Marc Spieker: You're welcome.
Verena Nicolaus-Kronenberg: We made it. We made it. So next one comes from John Musk from RBC.
John Musk: Yes. Two questions from me. We talked a little bit about potential headwinds. One that we didn't go into much tail was bad debt. So just thinking around what you may have already built into your guidance for increasing bad debts. And appreciate the bills have not necessarily gone up everywhere yet, so you may not have seen some of that hitting customers. And then secondly, just to get clarity on the leverage guidance, so lower end of 4.8 to 5.2 based on interest rates now. What does that mean versus the €1.4 billion we've already seen in terms of lower provisions? And how much lower will they go based on interest rates now?
Marc Spieker: Yes. John, on bad debt, we continue to take a very prudent approach which is now basically the third year we're doing that. So we have been continuously talking about that issue. We started with a very prudent approach when COVID broke out and have done so ever since. And basically, we haven't seen any bad debt risk actually materializing since then. So I think from that, you should just take a lot of confidence that we have taken care of bad debt issues in a very appropriate manner. And that does not pose a risk to our guidance. Of course, we are monitoring it, are gradually working on in those markets also where we do not yet have a high direct debit at share to gradually increase that. You know that in Netherlands, Germany, we're 90%, 95% direct debit rate anyhow, so that's pretty safe territory. In the U.K., we're at 60%, 65% and we continually drive it up. And so second message here is we're not just monitoring the risks but we are actively addressing operationally that topic to further mitigate and minimize any impact. Now on leverage, fair question. If you look relative to our -- to the spot rates applied to our Q1 accounts, interest rates that further increase by -- if you look at the EU rates, 70, 7-0, basis points to relative the spot rates applied in our Q1 accounts. And we gave you the sensitivity already in the past that an of increase about 1 basis point equals approximately €30 million, 3-0 of relief on pension provisions. And based on that sensitivity, the 70 basis points as of today would mean about €2 billion of further decrease in pension provisions. Now this already assumes the sensitivity that plan assets in such an environment would not work positively but that we would lose on the plan asset side as we have also seen during the first quarter. That is the only part which may mean that the sensitivity can be a bit better or a bit worse depending on where the asset performance actually runs. But it's a quite sizable improvement on top of what we have accounted for in our Q1 accounts for sure.
Verena Nicolaus-Kronenberg: Thanks, John. Next question comes from Louis Boujard from ODDO.
Louis Boujard: Yes. Two questions on my side. Maybe the first one, coming back on inflation but a bit more regarding the long term. We understand that energy network, of course, is a bit under pressure this year. But at the same time, most of the support that is going to kick in regarding inflation are going to come next year. Shall we expect that in view of this trend we could see further improvement and maybe further CAGR growth on the EBITDA trend, in particular, in energy network compared to what you had in mind three months ago regarding the EBITDA that could be attracted in energy network by 2026, for instance, in your official guidance? Are you -- do you feel now more confident in the long-term guidance more specifically? And maybe my second question regarding Energy Infrastructure Solution trend. If you could give us a bit of color regarding the actual commercial development of this business in the current environment where, for sure, you could have quite demanding clients for some solution on this topic.
Marc Spieker: Yes. So I can answer the first question, Louis, very shortly. The answer is yes. Of course, with rising inflation rates and if I talk about inflation protection [ph], our CAGR for Energy Networks earnings should go up. And on [indiscernible] will go up. And second, on Energy Infrastructure Solutions, I keep it short for the sake of this call. There is a lot of good things to tell about the business. And what we basically see is, during last year, extremely positive momentum, specifically on the city energy solutions business, so where we are offering for city quarters cities, specifically low-temperature heating solutions. This has a tremendous momentum. And we've been quite successful in signing deals with cities or probably a large property developers across Europe. There's a second business in that which is the central energy infrastructure for industrial, large commercial customers. Here, we've seen an enormous momentum on renewable solutions. So the rate at which we are now selling PV-based heating solutions for industrial clients is amazing. It's limited by the supply chain topics in global markets which basically mean we could increase our growth rates even more if we had the supply at hand. Currently, gas-fired solutions are less awful but if I look at the first two trends which I mentioned, this by far overcompensate for demand for gas-fired solutions at this stage and hence, underscores our long-term very positive conviction on that business. And so also the long-term growth rates as part of our Capital Market Day, investing [indiscernible] every year at mid- to high single-digit post-tax IRRs fully intake.
Verena Nicolaus-Kronenberg: Thank you. Welcome. So Sam -- for me, we actually wanted to pose a question. I'm not so sure whether this is still the case. So Sam, are you still online and want to ask a question? If not, then we move on to Martin Tessier.
Martin Tessier: Yes. I have one question only on the Customer Solutions business. On the one hand, you say that there has been overall no negative dynamic in terms of churn. On the other hand, we understand that sometimes you are the supplier of last result, meaning higher number of customers. But when we look at the Page 17 of the presentation, we can see that the portfolio overall has decreased by 200,000 customers during the quarter. So seems like a bit counterintuitive. So any information on this dynamic would be very helpful.
Marc Spieker: Yes. So on supply of last resort, the biggest dynamic actually happened during the fourth quarter. So we saw -- last year, so we saw about 1 million customer accounts or an increase of 1 million customer accounts due to supplier of last resort events. During the first quarter, customer numbers -- churn numbers have basically across all markets crashed down. There's very, very little movement in customer accounts at all. So the 200,000 some here and there in some markets. There's no major trend. The customer numbers are largely stable. And that's a reflection of very limited churn and also very limited at this stage active channel management on our side because it just doesn't make sense in the current price environment. I think the good news and important thing for the future is that across all markets we do see competition structurally go down. So a lot of market participants exiting, regulators increasing the bar, the quality bar of what you need to comply with in order to actually be admitted as a supplier and be active as a supplier. And that actually calls for when churn rates will come back when prices kind of a level of at least somewhat if you look at the forward curve. The competition also structurally going forward will be different to what we have seen in the past and that means better for us basically across all markets. All right. Thank you very much.
Verena Nicolaus-Kronenberg: Yes. I just to -- apparently Sam is now on the line again. So Sam, please go ahead, that would then be the last question for the call. If that still doesn't work, Sam, then we're happy to pick that up after this call. Sorry for that, if there are any sort of connection topics in that case. Yes. Thank you very much for your interest and for all these relevant questions. I hope this was useful. And we're obviously looking forward to continue our dialogue. If there's anything else that we can help you with, we are at your disposal. And thank you, Marc, for answering all these questions. Looking forward to seeing you all, again and stay healthy.
Marc Spieker: Thank you very much for my side, stay healthy and I hope to see you soon on the road. Bye-bye.
Verena Nicolaus-Kronenberg: Bye.